Lenora Hobbis: Okay. Well, hello and welcome to the Victoria Gold Video and Conference Call to discuss the Third Quarter 2021 Financial and Operating Results. Please note that listeners and viewers will be muted while the presentation is being delivered. And after the presentation, there'll be an opportunity to ask questions. [Operator Instructions] Also note that the video call will be recorded and available for playback on the company's website. We will be making forward-looking statements and I encourage participants to see our disclosure documents including our corporate presentation and MD&A and the cautionary notes there-in which can be found on SEDAR and the company's website. I will now turn the meeting over to John McConnell, Director and CEO to discuss the operating results for the quarter. John?
John McConnell: Good morning, afternoon, or evening depending on where you are. I'm just going to quickly go through the operating results for Q3, it's a bit of a reiteration. We had record production in Q3 of over 55,000 ounces of gold and this was 50% -- 58% higher than the same period in 2020. Just to remind people that this is an open pit heap leach operation and as is the case with all heat bleach mines, there's a time lag in mining ore, stacking ore, and the ultimate production of gold [ph]. The record gold production achieved in Q3 was largely made possible by increased ore mining and stacking that occurred in the first half of 2021. This is important as ore mined and stacked on the heap leach during the third quarter were markedly higher than the comparable period in 2020. 3.1 million tonnes of ore was mined in Q3cCompared to 2.1 million tonnes in Q3 of 2020. Ore stacked on the leach pad was 3.3 million tonnes during Q3, which is 73% higher than the 1.9 million tonnes stacked in Q3 2020. These mining and stocking rates position the company well for gold production in Q4 2021 and into 2022. I would also like to point out that we estimate there is approximately 106,000 ounces of gold in inventory, most of which is on the leach pad at the end of the quarter. While these ounces are accounted for in the balance sheet, on a cost basis, the market value today is approximately CAD250 million. Our sustaining capital spend for 2021 is on budget and our maintenance -- operating teams on site, they're very happy that the truck shop is near completion. This is expected to have an immediately positive impact on productivities. I will now turn the meeting over to Marty Randall, our CFO to summarize how these excellent operating results translate into financial results.
Marty Rendall: Thank you, John. Good day to all participants. With the record breaking production numbers outlined by John combined with the continued robust gold price, it stands to reason that we've experienced very good numbers across the income and cash flow statements. A reminder that all the numbers I'll be mentioning are in Canadian dollars, unless U.S. dollars are specifically referenced. Revenue during the third quarter 2021 was CAD120 million, which is 48% higher than the CAD81 million revenue from Q3 2020. Operating earnings during the quarter were CAD52 million, resulting in a hefty operating margin of 44%. Net income was CAD32 million in Q3, or CAD0.51 per share outstanding. Cash costs were CAD892 per ounce of gold sold. On a U.S. basis, this is $708 per ounce over the third quarter. All-in sustaining costs for the quarter were CAD1,211 per ounce and again in U.S. dollars to compare to our peers, that's $961 per ounce of gold sold. Production was lower during the first half of the year, while unit costs including all-in sustaining costs were higher during the first half compared to the quarter we just completed. Therefore, over the nine months ended September 30, 2021 all-in sustaining costs were $1,256 per ounce EBITDA or earnings before interest tax depreciation and amortization was CAD68 million during the most recent quarter. Free cash flow over the quarter was CAD32 million, or CAD0.52 per share. We also made significant principal repayments against our debt during the most recent quarter of over CAD40 million. I'll now pass the meeting back over to John for a little further discussion.
John McConnell: Yes, I just like to make a couple of general comments and then we'll be open for questions. And as Leonora said, you could raise your hand or you could put a question in the chat.
Lenora Hobbis: I have it.
John McConnell: Maybe you could mute there. I just like to discuss the ongoing COVID pandemic. We believe the key word here is [technical difficulty] 
Marty Rendall: You're on mute John.
John McConnell: There we go. I'll just back up to the start of my comments on COVID. The COVID pandemic is ongoing and I believe the word ongoing is important. COVID continues to have a material effect on our business and this will continue through 2022. Inflation has led to higher prices of almost everything, including labor and fuel, which are the two major cost drivers for us. Employee turnover is high and many protocols from masking to distancing to travel restrictions remain in place. With all of these challenges in mind, we have delivered an outstanding quarter. This is the result of an exceptional team of people that I have the pleasure of working with at Victoria. On the exploration front, during 2021, we completed one of the largest programs in company history. We drilled deep holes in Eagle well below the current reserve and resource. Lender ph took our biggest program to-date exciting Raven target. We also drilled early stage Lynx target and the Rex-Peso silver target. That said, we have not released results to-date. Delayed laboratory results are an annual challenge in our industry. However, this year has been much worse than usual. As frustrating as this has been, results are now coming in and we anticipate being in a position to release exploration results in the near future. I'm not able to provide a lot of information with respect to 2022 as we are deep in our budgeting process at the current time, and we will issue production and cost guidance early in Q1 of 2022. I do want to briefly mention Project 250. We aim to increase annual gold production from Eagle mine to 250,000 ounces per year by 2023. To achieve this, we plan to scalp fines from the crushing circuit, allowing increased capacity through the overall plant. We'll also be adjusting our seasonal stacking plan to reduce the winter, no stacking period. Detailed engineering on Project 250 is underway, more currently ordering long lead equipment, and we look forward to providing further updates to the market in the very near future. Thank you all for attending. I will now open the meeting for questions.
A - Lenora Hobbis: [Operator Instructions] We have a question from Chris Thompson.
Chris Thompson: Hi good morning, John, Marty and team. Thanks for the -- thanks for hosting the call. Just a couple of quick questions. I guess I wonder if you could just quantify some of the inflationary pressures on operating costs that you're experiencing and foresee experiencing in terms of percentage?
John McConnell: I'll let Marty handle that one. Although it looks like he's in the dark there.
Marty Rendall: Yes, the clouds have come over. Chris, it's a good question. It's a little bit hard to answer, but we can give you a bit of an idea of what we're seeing. John mentioned that a couple of our major cost drivers are labor and fuel. We've all seen the fuel prices, and it's 20% to 30%. over top of our budget at the current time. Obviously, we'll work this into our 2022 budgets, but that's certainly affecting our costs. The labor side is a little stickier as we all know. It is going up. It's getting more difficult to find people and turnover has been high. So, labor is also creeping up and that will happen again next year, but you're probably closer to 5% to 10% on Labor. We're also seeing increases across our consumables from lime, cyanide, although not quite as much as on the fuel side. If I had to give you a number of an estimate of inflation this year, my estimate would be 10% over top of what we had expected. And I would expect that to increase a little bit going into next year, maybe it's another 10% next year. So, it’s some big numbers on the inflationary side.
Chris Thompson: Great. Thanks Marty. And I guess my next question would be how do you plan to operate through the winter by way of seasonal stacking? Maybe you can -- maybe you can just quickly talk about that. Maybe you can -- maybe you can just quickly talk about that in the Q1?
John McConnell: Yes, we shut down for -- I think it was close to nine weeks last year. We plan to reduce that to about five weeks this year. So, the coldest month of the year. We'll probably shut down the end of the first week in January and get started stacking again, mid-February. That's as much predicated by some maintenance work we have to get done, some annual maintenance and some belt replacements and that sort of thing. So, it's much easier to bring in contractors to do that work and get a concentrated effort around the maintenance for that four or five week period. But we -- it's our intention to reduce from 11 or 12 weeks down to five weeks in 2022.
Chris Thompson: Great. Thanks John. And finally just a little bit of color, I guess on that in pad gold inventory. When you expect to see that sort of drawing down?
John McConnell: I will start and then I'll let Marty, but I don't see that drawing down until much later in the mine life, that's probably going to be pretty steady state for the next foreseeable future.
Chris Thompson: So, you see it basically no net drawdown, but basically continuing to build?
John McConnell: I don't think it'll go much higher. We're pretty much at steady state now. We're stacking roughly 1 million tons per month and as long as we get areas under leach, we draw the gold out, but I think the inventory will stay pretty steady at roughly 100,000 ounces.
Chris Thompson: Okay. All right. Thank you for that. Thanks, guys.
Unidentified Analyst: How do you? How do you see revenue per employee working out from last year to -- for the next two years?
John McConnell: Marty, you want to--?
Marty Rendall: Was that revenue per employee?
Unidentified Analyst: Yes.
Marty Rendall: Our employees are probably fairly steady now. As we said, we're having a little bit of challenges on turnovers, so we're probably 5% or 10% under where we'd like to be. We do not see that growing very significantly over the next couple of years. So, we might have 5% to 10% growth over the next couple years in employees. And yet, we're going to see our revenue grow significantly. Obviously, this is subject to a gold price. But as John mentioned, we're working on Project 250. So, as our gold production increases from close to 180,000 this year towards 250,000 goal in 2023, that's some significant revenue increases and gold production. So, revenue per employee should increase significantly over the next couple of years.
Unidentified Analyst: Thank you. Excellent.
Lenora Hobbis: We have a question from [indiscernible].
Unidentified Analyst: Thank you. John, could you try to characterize the normal seasonality? For example, for a 200,000 ounce trend rate, would it be something like 30,000, 60,000, 60,000, 60,000 ounces quarterly? And when you expand to 300,000 tonnes in several years, would it be something like 30,000, 90,000, 90,000, 90,000 quarterly or -- that can figure?
John McConnell: Yes, John, the -- it'll actually be the second quarter that's our lower number, because we're not stacking in the first quarter. So, it's probably more like 60,000, 30,000, 60,000, 60,000 in that area.
Unidentified Analyst: As we look at the cash flow, the nine months had the big inventory accumulation as you referenced. Should we expect that the money comes out of inventory and goes into the treasury? And that funds to current maturity is a debt without an external financing?
John McConnell: I'll let Marty feel that.
Marty Rendall: Yes, John touched on it a little bit earlier. The 100,000 ounces, we now have on the pad [technical difficulty] a little bit earlier. The 100,000 ounces we now have on the pad really equates to a fully pregnant pad. So, we expect the pad to remain approximately 100,000 perhaps for years now. Could it go up to 110,000? A little higher? Sure. But we now expect it to roll. So, this year, we spent tens of millions of dollars in working capital to build that inventory. Next year, that inventory will stay constant. And so what we produce next year should roll right into cash flow, which we can use to repay debt or for other uses.
Unidentified Analyst: So the operating cash flow roughly equal to CapEx for the nine months is normal. And it's next year that we'll have the excess cash flows to repay the current debt?
Marty Rendall: That's right. Operating cash flow should stay fairly normal. But we won't have the working capital hit of CAD40 million to CAD50 million and so that's a positive difference going into next year, that CAD50 million working capital difference.
Unidentified Analyst: John, if I could ask one more. Your success heap leaching in Canada is unique, but there's lots of projects in Canada. O3 Mining, Monita Gold, First Mining Gold, all have these huge Ontario or Quebec deposits around a gram. Why aren't people coming to you asking you to show them how to heat bleach in Canada? I expected you to be a Pied Piper with 20 companies following you.
John McConnell: Well, I think there's a difference in the jurisdiction there and mineralization. As you know, most of the Yukon has not been glaciated and taken that oxide gold away. Whereas in Ontario that glaciation is stripped off the oxidized gold and they're really left with material that needs to be milled. But I have fielded a lot of questions from Eastern companies about heap leaching. We're looking forward to the corporate development opportunities for you getting paid for your know-how John.
Unidentified Analyst: Thank you.
John McConnell: Thanks John.
Lenora Hobbis: Okay. We have a question from Rick. And the question is Orion has been selling large blocks? Are you aware of who has been purchasing, BMO Nesbitt is also making large share transactions on the open market? And do we know who is selling and buying?
John McConnell: We have a good idea who has purchased the Orion blocks, but it's not public information and buyers have the right to be anonymous. I would say you can ask that question to Orion.
Lenora Hobbis: Okay, and he has a second question. And it is can you produce an updated chart of the large shareholders again, like you did at the Denver Conference?
John McConnell: Yes. I'm marketing next week and we'll have an updated shareholder list there. That's as good as we can get based on the information we have.
Lenora Hobbis: Okay. And his third question is, did I miss the answers produced for October? So, I guess we just have to recap back.
John McConnell: We have not released the answers for October. That'll come out probably early January when we release the quarterly production results.
Lenora Hobbis: Okay. And then there's another question here from Penny's [ph] and what is your strategy with regards to delaying the release of the 2021 assay results?
John McConnell: Say that again. Is this -- talking about exploration results?
Lenora Hobbis: Yes, so what is your strategy with regards to the release of the 2021 assay results?
John McConnell: I wouldn't say there's any particular strategy. We're certainly working with the labs to try and to expedite the assay results, but they're having a terrible time hiring people right now as well. And all I can say is ask everyone to be patient. Once we have compiled the enough results that we think are newsworthy. We'll release the enough results that we think are newsworthy, we'll release them.
Lenora Hobbis: Okay. Thank you. I don't see any more questions. [Operator Instructions] Okay, it doesn't appear that we have any more questions. So, I'll pass it back to John to close the session. John?
John McConnell: Yes, I don't really have anything else to say other than thanks for tuning in and we'll be at another call with Q4 and year end results probably in mid-February. Thanks everyone.
Lenora Hobbis: Thanks everyone.